Operator: Good morning and welcome to the Assertio Holdings, Incorporated Fourth Quarter and Full Year 2021 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Max Nemmers, Head, Investor Relations and Administration. Please go ahead.
Max Nemmers: Good morning and thank you all for joining us today to discuss Assertio’s fourth quarter and full year 2021 financials. The news release covering our earnings for this period is now available on the Investor page of our website at investor.assertiotx.com. I would encourage you to review the release and the accompanying presentation as it is important to today’s discussion. With me today are Dan Peisert, President and Chief Executive Officer; and Paul Schwichtenberg, Senior Vice President and Chief Financial Officer. Dan will open the remarks and provide an overview of the business followed by Paul, who will review our financial results. After that, we will open the call for your questions. During this call, management will make projections and other forward-looking statements regarding our future performance. Such forward-looking statements are not guarantees of future performance and involve risks and uncertainties, including those noted in this afternoon’s press release as well as Assertio’s filings with the SEC. These and other risks are more fully described in the Risk Factors section and other sections of our Annual Report on Form 10-K. Our actual results may differ materially from those projected in the forward-looking statements. And Assertio specifically disclaims any intent or obligation to update these forward-looking statements except as required by law. With that, I will now turn the call over to Dan. Dan?
Daniel Peisert: Thank you, Max. Welcome to everyone joining us this morning. Last quarter I made some remarks about everything that had happened in the prior year and how much change had taken place her at Assertio. In addition to what I made mention of at that time, we've also closed the acquisition of Otrexup from Antares and have now integrated it into our business. This was the first acquisition of a product by Assertio since 2015 and the first hiring in the management team, and to date all has gone extremely well. As you can see from the results we released this morning, and that Paul will expand upon in a few minutes, we had a very strong fourth quarter. We delivered top line growth of 7% versus the prior year, despite discontinuing a product line, and 23.8% versus the prior quarter. Our adjusted EBITDA results reflect an increase of 118% versus the prior year and 12.7% versus the prior quarter, demonstrating the success of our restructuring. In a short period of time, we were able to transform this company, especially we generated more in adjusted EBITDA in the fourth quarter of this year, versus the entire year of 2020. And looking forward to the next 12 months, we see a lot to get excited about. To build on our momentum, I have created our corporate priorities for 2022 to ensure continued success. These are as follows. First, retention of our employees, attraction of new talent and to continue to build upon our culture of teamwork including end results. Second, prove the efficacy of our new commercial model as we transition Otrexup from traditional in-person to non-personal promotion in what looks like it could be an environment where COVID-19 is moving to endemic. Third, reduce our reliance or concentration in Indocin. Fourth, executing on a comprehensive Lifecycle Management Program for Indocin and finally, improving our balance sheet and reducing the cost of capital. We're keenly focused on integrating Otrexup, expanding upon the reach and frequency of promotion, improving upon its market access, finding new avenues of growth and doing so in a capital efficient manner. This should allow us to build confidence and interest in the business model, not only from investors but also potential new business partners. We're also aggressively targeting new business development opportunities and have added both internal and external resources indeed accelerating our efforts here. It is largely through acquisitions that we expect to reduce our reliance on Indocin. We have not wandered from our goal of adding $50 million in incremental gross profit to the business by 2024. Otrexup accounted only for 1/5 [ph] of this goal. We believe there is a favorable acquisition environment right now. We're seeing a lot of new product acquisition opportunities, increasing activity from those looking to sell as conditions ease up post the pandemic. And many of our peers who have been and would like to be buyers are far more leveraged than we are. There is no doubt that Indocin is currently an important part of the business and we intend for that to continue into the future. We're actively working our plans to grow and expand the label for the product, and once we have clarity on the timing and costs of these development programs, we'll communicate those to investors. Paul and I are both extremely focused on our balance sheet and are looking for the right balance of reducing our cost of capital, leaving flexibility for future acquisitions, extending our maturities and balancing our debt to market cap. We're currently evaluating multiple proposals for refinancing weighing the appropriate options and timing. Execution against our business plan and these priorities over the next 12 to 18 months will be key to our success. Fortunately, management time looks like it won't be distracted by the legacy legal liabilities that have chewed up a lot of our time historically. Thanks to first, the resolution to the antitrust and shareholder litigation that we drove to settlements recently. And second, as was the case in 2021, we expect no movement in the opioid lawsuits for what is likely the next 12 months and possibly longer. Recently, were dismissed from two additional cases, bringing the total to 82 dismissals. These two cases were on track to go to trial sometime in early 2023. But now we can focus our time in managing the business and executing on these priorities. In addition, we're optimistic that our investment in MDS will mature inside of this timeframe. This represents a nice source of upside optionality for Assertio as we have the potential to be approximately 12% equity owners of a life saving drug for an ultra orphan condition for which there is no available treatment, and a priority review voucher. Our strategic interest in this investment is not simply to be an equity participant, but be either the marketing partner or owner. Before I turn the call over to Paul to discuss our quarterly results, I'll spend a minute on our guidance for 2022. We expect to generate net product sales of $126 million to $136 million and adjusted EBITDA of $64 million to $72 million in 2022. This represents growth of 15% to 24% on the top line, and 31% to 47% in EBITDA. Our revenue forecast reflects the net pricing benefit from Indocin offset by the loss of exclusivity for Zipsor which we expect later this month, as well as the inclusion of Otrexup. For your awareness, after completing the acquisition we did not sell any Otrexup in December, nor through most of January this year as we normalized the level of inventory in the distribution channel. For Indocin, we've seen an increased mix of heavily discounted product sales through 340B in the last few months of 2021 and early 2022. This mix is unpredictable and ebbs and flows through the year. Our full year forecast however, assumes that we continue to see an elevated mix from this channel. Our EBITDA forecast reflects the full year benefit of the restructuring we completed in the third quarter last year, as well as the elimination of nearly 6 I of one-time costs in 2021 for the legal settlements net of insurance proceeds. Now I'll turn the call over to Paul, who will walk through our quarterly results and guidance in more detail.
Paul Schwichtenberg: Thank you, Dan. This morning I will review the financial highlights from our fourth quarter and full year 2021. There are slides available on our website that I will reference as I discuss these results. Starting with Slide 3, net product sales were $32.2 million for the fourth quarter 2021 compared to net product sales of $30.1 million in the prior year quarter and $26 million last quarter. The increase in net sales versus the prior quarter is driven by indecision Indocin, Cambia and Zipsor. Full year 2021 net sales were $109.4 million versus $92.1 million in 2020, representing a 19% year-over-year increase. Cambia and Zipsor net sales in the fourth quarter reflect one-time price favourability driven by a shift toward more profitable sales channels in the fourth quarter, while maintaining consistent overall volume relative to the prior three quarters. Indocin net sales in the fourth quarter increased by $3.8 million over the third quarter, and $5.9 million over the prior year quarter on comparable volume, due to an improvement in net realized price that is expected to continue into 2022. Overall portfolio net sales were up 24% versus the third quarter. Please refer to our 10-K for specific product level net sales information. Cost of goods sold in the fourth quarter included a one-time inventory reserve for Sprix due to a single manufacturing batch that didn't meet the required specifications, resulting in a decline in the gross margin versus the third quarter. Absent discharge, gross margin in the fourth quarter increased 730 basis points over the prior year quarter. Also on Slide 3, adjusted EBITDA for the fourth quarter was $17.8 million, compared to $15.8 million in the third quarter, reflecting 13% quarter-over-quarter growth. EBITDA in the fourth quarter represents the third sequential quarter of growth after adjusting for one-time legal matters, and 118% increase over the prior year quarter. Adjusted EBITDA for the 12 months ended December 31, 2021 was $48.8 million, reflecting $32.5 million or 200% growth over the prior year adjusted EBITDA of $16.3 million. It is worth noting that the fourth quarter 2021 EBITDA has exceeded the full year EBITDA for 2020. Summarized on Slide 4, adjusted selling, general, and administrative expenses in the fourth quarter were $10.1 million versus $7.9 million in the third quarter. Full year 2021 adjusted SG&A expenses were $48.1 million versus $73.1 million in 2020, reflecting a decrease of $24.9 million or 34%. Excluding the net impact of one-time legal matters of $5.6 million recorded earlier in 2021, adjusted SG&A expenses were $42.6 million reflecting approximately $45 million of savings versus the annual second half operating expense run rate in 2020 representing a greater than 50% reduction. Net income for the fourth quarter was $4.6 million, compared to the third quarter net income of $3.7 million. The full year 2021 net loss was $1.3 million, compared to a net loss of $28.1 million in 2020. As was stated previously, 2021 net income was impacted by one-time legal matters expense of $5.6 million, and also a loss of $3.9 million for the change in fair value of contingent consideration. On December 31 2021, our Senior secured debt balance shown on Slide 5, was $70.8 million. On November 1, 2021, the company paid scheduled interest in principal of $9.7 million. Also on Slide 5, ending cash on December 31, 2021, was $36.8 million. The net decrease in cash of $21.9 million from the September 30, 2021 balance of $58.7 million is primarily attributable to the initial payment of $18 million on December 15, 2021 for the acquisition of Otrexup and other working capital changes in the fourth quarter. As of December 31, 2021, the company's net debt to find a senior secured debt less cash to trailing 12-month adjusted EBITDA ratio was 0.7, reflecting a substantial reduction from a ratio of 3.65 at the end of 2020. Net cash provided by operating activities as reported in the company's statement of cash flows for the fourth quarter was $4.1 million, reflecting the third quarter of positive operating cash flow. For full year 2021, the company generated $5.5 million of operating cash flow, with $8.8 million generated after the completion of our restructuring in the second half of 2021. This amount includes nearly $10 million for one-time legal settlements and the extension of the Indocin supply agreement. Absent these payments, the operating cash flow generated in the second half of 2021 was approximately $18.8 million. As was stated on the prior earnings call, we had been expecting an income tax refund of $8.3 million in the fourth quarter of 2021, which has continued to be delayed due to IRS processing. If this tax refund is further delayed, it will impact our operating cash flow in the first half of 2022 because there are other large outflows such as interest payment on the senior secured debt and timing of inventory purchases that are expected in this timeframe. On an annual basis, we expect cash flows to be positive, but due to the timing of working capital and interest payments, the quarterly operating cash flows will fluctuate. Lastly, our annual guidance for 2020 summarized on Slide 6 is as follows. Product net sales of $126 million to $136 million and adjusted EBITDA of $64 million to $72 million. The guidance for 2022 reflects the following factors. Indocin net sales growth driven by favorable pricing, partially offset by higher mix in discounted channels, addition of Otrexup sales and expenses, initial sales of Otrexup were delayed to late January 2020 due to the high level of channel inventory that existed at the time of the product acquisition on December 15, 2021. Also reflected in the guidance are, the loss of exclusivity for Zipsor in March of 2024, increased rebates and discounts to maintain managed care access for Cambia, and finally, the discontinuation of Solumatrix sales. Overall, we are very pleased with how the business has performed in 2021 through the efforts of our dedicated and committed team. We are very optimistic about the outlook for 2022 and we continue to focus on positioning Assertio for long-term sustainable growth. And now I'll turn the call back over to Max.
Max Nemmers: Thank you, Paul. At this time, can we open the call for Q&A please?
Operator: [Operator Instructions] Our first question comes from Scott Henry from Roth Capital. Your line is open.
Scott Henry: Thank you, and good morning. A couple of questions, first on Indocin, how should we think about the duration of the pricing power for that product? Obviously price has went up, would you expect that to be, what sort of duration do you think is reasonable to think about there?
Daniel Peisert: In terms of our ability to continue, I would say, its...
Scott Henry: But do you think -- will it bring new competition? How long do you expect before you see, start to see competitive factors there?
Daniel Peisert: Okay, so we don't think that this, the price, the net pricing benefit that we experienced here in the fourth quarter is something that attracts potential new competition, or attracts it more. If the product has been attractive in the past, I think it continues to be. And the fact that it's been branded, as long as it has speaks to the difficulties in manufacturing and other things that prevent people from competing with this product.
Scott Henry: Okay. I guess shifting gears, Dan, you spoke a little bit about this orphan drug investment that the company has. I caught a lot of that, but I missed a little. Could you just talk about that asset in how we should think about it and what kind of value that asset could have?
Daniel Peisert: Yes, it's for a ultra rare condition called neonatal antiviral sepsis. And it affects, it's a seasonal disease, typically, June to October, affects about 7000 newborns a year. And these are children who, in most cases, contract an intego [ph] virus during birth. And because of weakened immune systems, the disease can be fatal. And these babies when they present to the hospital are severely ill, with many of them having to go right away on ECMO and this product would be the only available product for this disease and it's, the data shows that it's life saving. So it's a very important medicine that we want to be a part of bringing to market, not only financially, but also strategically for this company, we think this would be an ideal asset for us to be promoting, which is why we got into this investment in the first place. And at a minimum it will come with seven years of Hatch-Waxman exclusivity and if approved, it would also come with a priority review voucher.
Scott Henry: Okay and what would the timeline be in terms of approval?
Daniel Peisert: So we think they've had some delays. The CDC is an important ally for them in testing a lot of their samples. And as you can imagine, with COVID, the CDC has been a little backed up. So they're a little delayed and when they had expected to file this with the FDA, but they're still indicating that there's -- they're on time to be able to file with the FDA in the second quarter of this year. So typical review times and for these types of assets is the six to 10 months, depending on if FDA has any questions. So there is a chance that we could see approval by the end of this year, and certainly it's on the path to be ahead of the next season in 2023.
Scott Henry: Okay, great. And how do you think about kind of peak revenues for a product like this? I don't know if you can think of just, general terms, but just trying to get a sense?
Daniel Peisert: Yes, so I think that's a -- it's a very relevant question. The question really comes down to what do you think the pricing could be? We haven't completed our pricing work for this yet. But we think that if you just look at other similar products, it's not a stretch to assume that you can get a pricing on an annual basis, north of $200,000 a year. That is not an uncommon thing in this type of environment. Whether or not that's true for this product is yet to be seen. The net pricing can be very attractive.
Scott Henry: Okay, and how many patients are there typically treated in a year?
Daniel Peisert: We think the annual occurrence is about the incidence is about 7000 patients a year.
Scott Henry: Okay. And as far as assertion Assertio's economic participation, how should we think about it? Do you own -- I thought you said you own 12% of this asset, is that correct? And is there any other component with regards to your participation?
Daniel Peisert: So today it's currently, it's on our balance sheet in the form of a convertible note and carry debt right now at half of our original investment. So, the way this investment works is upon FDA acceptance of their NDA, that note will convert into equity. So, right now on the current timeline, we were expected to convert into what looks like 12% equity ownership, like you had mentioned. If their timelines are delayed, there is interest that accrues on that note, then there's a chance for our interest to -- our economic interest to go up above 12%. But we'd rather see this come to market sooner than later.
Scott Henry: Okay and then are there any royalties involved, or just said that 12% is how we should think about it?
Daniel Peisert: Just that 12% right now.
Scott Henry: Okay, great, very interesting. I guess, just a couple more quick questions. Otrexup, now that you've got a couple of months under your belt any surprises there or is that asset meeting your expectations?
Daniel Peisert: No, as I said in my prepared remarks, everything is going well. The assets are meeting expectations. And I'm really excited about getting it into our commercial engine further, so that we can start to see what we can do with it.
Scott Henry: Okay, great. And then, I guess the final question, which is sort of a big picture question relative to the virtual model, I felt like when you started out with this strategical initiative, the thought there would be without the face to face promotion, you would have an erosion at whatever rate, perhaps 10% a year or whatever. But then as it's turned out, you've actually grown the prescriptions for a lot of these products. How should we think about organic growth under this virtual model based on the data points you have so far?
Daniel Peisert: I think that's a -- it's a very fair question. A lot of people have answered it. One of the reasons why we switched to this model wasn't necessarily just because we thought we could grow it faster. It's more the economic side of things. So we don't think that promotion, nor how you promote for assets like these, is the single greatest barrier for that growth or accelerator pedal for that growth. The one that is more important to it, spend more time and resources on is market access. And not only contracting with PBMs and working your deals with the wholesalers, but also just in terms of building the infrastructure to deliver to patients, like we do with our hub and pharmacy -- and network pharmacy design where we can offer attractive copay benefits. So it's getting those things right, that can be the biggest governor of your growth. So we don't think that necessarily moving from in-person to digital is what does that. We think we just derive a better ROI on those investments.
Scott Henry: Okay, great. Well, Dan, thank you for taking all the questions. I appreciate it.
Daniel Peisert: All right. Thank you very much Scott.
Operator: [Operator Instructions] Our next question comes from Scott Weis from Semco Capital. Your line is open.
Scott Weis: Thank you, guys. Congratulations on the turnaround in 2021, really great job.
Daniel Peisert: Thanks Scott.
Scott Weis: I've got a couple of questions. One on Indocin, is there an alternative to this drug in the marketplace? And secondly, how can we think about the TAM and the size of the market as we look forward over the next couple of years?
Daniel Peisert: So, in terms of an alternative right now, no, there isn't. The other -- there's other things that people have tried, but the only thing that's available on the U.S. market is Indocin. The question about TAM and also I think about an alternative is, is really at the new possible indication for Indocin that we're exploring right now, which is the prevention of pancreatitis in ERCP surgeries. There's about 400,000 of those procedures done annually in the United States and at the current pricing of roughly $700 per procedure, there's a very attractive TAM in front of us. So it's something that we're looking to see how fast we can penetrate into that market, as well as is how deeply. Today, Indocin is recommended in its guidelines, largely just for the high risk segment of that 400,000 procedure market, which is about 20% of that total patient pool. The other two segments, which are moderate and mild account for about 40% of that market each. So we think that the bigger opportunity here is just receive a broad label for this indication and then start promoting to physicians the benefit of the product, not only in high risk, but also in moderate and low risk patients as well.
Scott Weis: Okay, so this drug has grown quite a bit since 2020 and there's no reason assuming you think it can penetrate, that this couldn't be an $80 million to $100 million drug over the next couple of years?
Daniel Peisert: It's certainly on that path, Scott.
Scott Weis: Okay. Regarding the refinance, your comment was, your weighing proposals. Can you give us some perspective on the timing? Do you think it's the first half 2021 type of an event? And then what would the refinance look like? Would it be a straight refi of the debt with a lower interest rate, would it include some cash, any color around that would be appreciated?
Daniel Peisert: Yes, so we are, as I said, weighing some alternatives right now. The key thing in the timing has out, in the execution has always been have we diversified the business enough on the top line. And the fact of the matter is that Indocin on a quarterly basis still earns as much revenue as we expect Otrexup to do inside of a full year. So we need to keep that in perspective as we go out right now. So like I said, we're trying to do the thing that is best for the business and for shareholders. The goal is to extend maturities, reduce the cost of capital, and ideally, leave flexibility for business development. That is, above all, the number one thing is making sure that we have the flexibility and additional financial capacity. The ideal situation is a straight refi of the existing term, with a lender that has the ability to expand and continue to fund it. So we can be able to benefit from future deals down the road. And we certainly think that with now our guidance of $64 million to $72 million of EBITDA, the fact that we've reported two consecutive quarters of stable business and now growing business here in the fourth quarter, that that will increase the confidence that these lenders will have in our business and their ability to allow for leverage.
Scott Weis: Okay. All right, thank you very much, guys.
Daniel Peisert: Thank you, Scott.
Operator: This concludes our question-and-answer session. I would like to turn the conference back to Dan Peisert, President and Chief Executive Officer, for any closing remarks.
Daniel Peisert: Thank you. In conclusion, 2021 was an important and transformative year for Assertio. It has laid the foundation for growth in 2022. I trust you all now see why we're excited about the opportunities that lie ahead for Assertio. We're scheduled to present next week at the ROTH Conference on March 14, and we hope to see and speak to some of you in person. None of this could have been possible without the talented, committed team and Board we have here at Assertio. We’re all aligned in creating value for all of our stakeholders under the clear responsibility we have with the patients' community. Thank you for joining us this morning and have a good day.
Operator: The conference has now concluded. Thank you for attending. You may now disconnect.